Fred Buonocore: Good morning, everyone. Joining me today on the call are Mark Behrman, our Chief Executive Officer; and Cheryl Maguire, our Chief Financial Officer. Please note that today’s call will include forward-looking statements. And because the statements are based on the Company’s current intent, expectations, and projections, they are not guarantees of future performance, and a variety of factors could cause the actual results to differ materially. As this call will include references to non-GAAP results, please see the press release in the Investors section of our website, lsbindustries.com, for further information regarding forward-looking statements and reconciliations of non-GAAP results to GAAP results. At this time, I’d like to go ahead and turn the call over to Mark.
Mark Behrman: Thank you, Fred, and welcome to the LSB team. We’re happy to have the opportunity to speak with you today about our 2021 third quarter, which combined with the first half of October, has included some of the most significant positive developments in our Company’s history. We posted record quarterly results for the second consecutive quarter as we continued to run our plants reliably, which enabled us to capitalize on the strong market environment for our products on both sides of our business. We also closed on the preferred stock exchange transaction that we discussed with you on our last call. As anticipated, the elimination of the preferred stock from our balance sheet led to credit upgrades on our debt by our major rating agencies. This enabled us to refinance our senior secured notes at a significant reduction in interest rate, which Cheryl will discuss later in the call. Collectively, these factors make us very optimistic about our prospects for the final quarter of 2021 and for the coming year. As it relates to our end markets, pricing strength on the agricultural side of our business and healthy demand on the industrial side combined to produce strong third quarter results as compared to those of our third quarter last year. On slide 3, we summarize the key drivers for our agricultural end markets. Commodity prices continue to sit well above year-ago levels. Most relevant to our business, the price of corn, while down from the highs of this past May, are up nearly 70% from 2020 lows and up more than 30% from this point last year, and continues to trade at near eight-year high levels. As we’ve discussed on previous calls, the strong pricing is the result of multiple factors, including a surge in exports led by increased demand from China. Additionally, ethanol consumption and production currently sit at near pre-pandemic levels as U.S. miles driven continue to recover from the pandemic shutdowns as a result of the benefits of COVID vaccines. Drought conditions in Brazil, which are resulting in significant yield losses have also served to constrict global corn supply in the face of rising demand, translating into further support for healthy price levels farmers are currently enjoying. Prices of other agricultural commodities have also seen steep increases, including beans, wheat, and cotton, all creating a competitive environment for a finite number of acres we have available for planting in the U.S.  The USDA continues to estimate that nearly 93 million acres were planted in 2021. This represents a 2 million acre increase from the previous year, and with the exception of 2016 was the highest level of planting since 2013, resulting in strong demand for fertilizers. Along with strong corn market fundamentals that have driven robust demand for fertilizers, as farmers seek to maximize their yields, nitrogen prices have been driven to multi-year highs. These elevated prices reflect global constraints on ammonia production, resulting from a variety of factors. From the U.S. perspective, the production issue started early in the year with winter storm Uri and the February deep freeze throughout a large swath of the middle of the country, where much of the nation’s ammonia production capacity is located. On top of that, nitrogen production was reduced over the course of the year, due to a combination of both, planned and unplanned downtime at a number of producers’ facilities through the spring and summer. Then, in late August, Hurricane Ida caused shutdowns at a number of facilities along the Gulf Coast. More recently, the rising price of natural gas, the primary feedstock in the production of ammonia and derivative nitrogen products, has played a role in further reducing production levels. While gas prices in the U.S. have increased significantly over the course of 2021, our domestic price inflation pales in comparison to the significant increase that Europe has experienced. Over the last several months, natural gas prices in Europe rose to over $30 per MMBtu equivalent. While those prices have receded recently to approximately $24 an MMBtu equivalent, that still represents a price that is more than 4 times what we’re paying in the U.S. As a result, some producers have been forced to take their Europe-based facilities offline, as the economics of continuing to operate with such high feedstock costs are far from breakeven. While we expect the situation to somewhat normalize at some point in the next six months, the impact on global nitrogen supply isn’t something that can be quickly made up, given the strong demand that I discussed. We believe this translates into very solid support for fertilizer prices at their current levels through the remainder of 2021 and throughout 2022. On slide 4, we highlight some end market trends contributing to the robust year-over-year improvement in our industrial and mining end markets. As many of you are aware, our industrial business tends to be contract-based, which gives us good visibility into our sales for upcoming quarters and insulates us from input cost inflation, particularly for natural gas, enabling us to maintain our favorable margins, which Cheryl will discuss shortly. During the third quarter, we continued to ramp up our nitric acid volumes related to the long-term supply agreement that we commenced at the beginning of this year. As you can see on the slide, the demand dynamics for our key industrial and mining end markets remained solid, despite recent disruptions on the industrial side from the widespread supply chain issues in the U.S. Overall, the demand and pricing trends we’re currently seeing on both sides of our business make us optimistic for continued year-over-year improvement in financial performance for the 2021 fourth quarter and for 2022. Now, I’ll turn over the call to Cheryl to discuss our third quarter results and our fourth quarter outlook. Cheryl?
Cheryl Maguire: Thanks, Mark, and good morning. Turning to page 5, you’ll see a summary of our results for the quarter. Our strong top and bottom line performance relative to the third quarter of 2020 reflects the increased pricing for our products across all our businesses. Our adjusted EBITDA of approximately $38 million is a company record for a third quarter, our seasonally weakest period. Adjusted EBITDA for the first nine months of 2020 was more than 45% higher than our full year adjusted EBITDA for 2020. And with the month of October in the books, we are very optimistic about our fourth quarter. Page 6 bridges our adjusted EBITDA for the second quarter 2021 of $37.7 million to adjusted EBITDA for the third quarter 2020 of $10.2 million. The light green bar illustrates a substantial impact selling price strength had on our results. The modest decline in sales volumes largely the effects reflects the successful turnaround we conducted at our Cherokee facility. As a reminder, last year we did not have turnarounds at any of our facilities. Partially offsetting the benefit of higher product selling prices was the continued increase in raw material costs, which are shown net in the $36.9 million price impact you see on page six, and represented a nearly $13 million headwind in the quarter. Energy costs, including natural gas, have risen substantially over the course of 2021, and we are actively managing our exposure through forward gas purchases. We currently have approximately 75% of our gas needs locked in through the end of the year, but to put the gas cost inflation in perspective, it takes approximately 32 MMBtus of gas to make 1 ton of ammonia. As you can see in the tables in our earnings release, in the third quarter of 2021, our cost of gas increased year-over-year by $1.73 or around $50 per ton of ammonia produced. At the same time, our average selling price for agricultural ammonia increased by more than $360 per ton over the same period, far exceeding the impact of higher gas prices. As Mark mentioned earlier, our industrial and mining business is fairly insulated from gas price inflation as a significant portion of our contracts enable us to pass through the cost of our raw material inputs. So, while we’re acutely focused on the dramatic change in natural gas costs between having the effect of causing some global ammonia production capacity to be temporarily taken offline primarily in Europe along with the strong overall pricing environment we’ve been experiencing, rising gas costs have not been significantly detrimental to our results thus far. Before I pass the call back to Mark, I’ll review a few important considerations as to how to think about the fourth quarter of 2021. Pricing for agricultural products remains strong, and we expect this favorable dynamic to persist. Over the last 90 days Nola UAN benchmark pricing increased from approximately $300 a ton to over $500 a ton. Additionally, agricultural ammonia has increased from approximately $600 a ton to over $1,000 a ton over that same period. Partially offsetting some of the improved pricing is the impact from higher natural gas costs, which we expect will average around $5 per MMBtu for the quarter, up from approximately $2.45 per MMBtu versus the fourth quarter last year. As I just mentioned, we expect the higher selling prices of our agricultural products to far exceed our increased feedstock cost. Putting it all together, we expect significant year-over-year improvement in our fourth quarter results. We currently expect adjusted EBITDA for the period to be north of $70 million or roughly 7 times that of the fourth quarter of 2020, and almost 10% higher when compared to the entire full year of 2020. Looking farther out into 2022, as Mark discussed, the market fundamentals we’re currently seeing across our agricultural, industrial, and mining end markets lead us to believe that we have the opportunity to deliver another year of strong bottom line results. This is the case, even with the turnarounds we have scheduled at our El Dorado and Pryor facilities. Turning to slide 7, with respect to our balance sheet, as many of you are aware, we were ultimately successful in achieving our goals of recapitalizing and simplifying our balance sheet, reducing our cost of capital, and creating greater financial flexibility for LSB. At the end of September, we closed on the transaction to exchange the $310 million of preferred stock held by Eldridge that carried a 14.5% dividend for shares of our common stock. With this substantial liability removed from our balance sheet, we received credit ratings upgrades from both S&P and Moody’s. Then, subsequent to the end of the third quarter, we proceeded in issuing $500 million of new senior notes with an interest rate of 6.25%, which we used to redeem our outstanding $435 million of 9.625% senior notes, and added cash to our balance sheet for future use. As you can see from the chart on the right, removing the preferred stock from our balance sheet substantially reduced our leverage ratio to very close to our target of 4 times. And we expect further reduction in the fourth quarter, given our strong outlook for EBITDA. With respect to liquidity, while we ended the third quarter with approximately $81 million between our cash balance and the availability on our revolver, today, our liquidity stands at over $100 million, positioning us well to pursue our growth initiatives as we close out 2021 and enter 2022, a year that we expect to bring further positive transformation for LSB and increased value to our shareholders. And now, I’ll turn it back over to Mark.
Mark Behrman: Thank you, Cheryl. There is no question that the recent actions we’ve taken with respect to our balance sheet have dramatically changed the future potential of what LSB can become as a company and the potential value we can deliver to our shareholders. That, combined with the journey we began several years ago to improve the reliability and efficiency of our assets and to focus on optimizing the sales of our products, made the kind of results we delivered in the 2021 third quarter possible. Looking ahead, on slide 8, we’ve summarized our priorities for the next 12 months. The continued improvement of our facilities operating rates has been and remains at the top of our list of opportunities to organically make a significant incremental contribution to EBITDA. Since introducing the performance improvement initiatives we began implementing in 2016, along with the investments and maintenance and upgrades we’ve made over the past several years, our plants have collectively made tremendous progress with respect to the volumes they produce, thus increasing our sales and enhancing our margins, aided by the strong pricing environment. With that said, we still have a meaningful room to improve. And similar to football where the red zone yards can be the most difficult yards to achieve, we have a good amount of work to do to capture the remaining operational performance opportunity that we’ve identified at our facilities. But, we know it’s possible. It will take a lot of hard work and the continued additions to our team of talented, experienced professionals. But, we will roll up our sleeves and get it done. Given current market pricing, we believe that this opportunity potentially represents $25 million to $30 million of incremental EBITDA that we believe we could recognize over the next 24 months. Another important priority is our focus on maintaining a conservative balance sheet. We are in an inherently cyclical industry and we believe that we can best enhance returns and minimize risks to our stakeholders by maintaining a net debt to adjusted EBITDA leverage ratio of below 4 times. As Cheryl pointed out, we expect that to occur at the end of this year, thanks to our recent balance sheet recapitalization and our strong financial results this year. With this major goal accomplished, we plan to manage our capital structure prudently, so that we are in the best position to take advantage of opportunities to maximize returns, regardless of where we are in the cycle. As we’ve discussed on past calls, we’ve identified a number of what we call margin enhancement projects that involve maximizing our production footprint, storage capabilities and logistics infrastructure that we expect to help us to capture the most attractive pricing opportunities available to us. Additionally, over the last year and a half, our commercial team has worked hard to put us in this sold-out position. We are now in a position to seek ways to maximize our margins by optimizing our product balance and customer mix. We will aggressively pursue all of these organic opportunities in the coming quarters with an eye towards increasing our financial performance. Beyond our very meaningful organic opportunities, our recently recapitalized balance sheet provides us with the flexibility to profitably increase our scale through accretive M&A activity, and we have been evaluating a number of prospects recently. We strongly believe that we have the leadership team in place to effectively manage a meaningfully larger business. Finally, as I have discussed on our last few calls, we are of the strong belief that our industry is on the threshold of becoming a major contributor to the global effort to reduce carbon emissions, both through the capture and storage of CO2 emissions from the ammonia manufacturing process, which is referred to as blue ammonia and by emerging as one of the most feasible sources of hydrogen for use as a zero CO2 emissions energy source, referred to as green ammonia, particularly as a fuel source for the marine industry, which is a major emitter of carbon, relating to a large cargo and other ships using diesel or bunker fuel. Our existing knowledge in ammonia manufacturing, handling, storage and logistics position us extremely well to become a significant player in this arena and to help to create a more sustainable, environmentally friendly world in a way that we believe can create long-term value both socially and financially. The economic opportunity for blue and green ammonia relates primarily to blue ammonia in the immediate term, as the U.S. Federal Government is currently providing 45Q tax credits of $35 to $50 per ton of CO2 captured and stored or sequestered. LSB has been engaged with several groups, organizations in D.C. attempting to persuade lawmakers to increase the geologically sequestered CO2 credit from its current $50 per ton, beginning in 2026, to a suggested $80 per ton. We believe that this is necessary to justify the CapEx required for smaller facilities. In addition, changing the section 45Q credit from a tax credit to a direct cash payment would open this opportunity to many more companies as it will remove their tax liability burden and provide immediate cash incentives, making carbon capture projects more economically feasible. These changes will ultimately lead to greater CO2 emissions reductions in the U.S. in a shorter period of time. Over the longer term, we believe that green ammonia will be one of the leading solutions to carbon reduction globally, given it’s carbon-free and it represents a source of significant incremental demand for ammonia, not only for LSB, but for the industry as a whole, which would further consume global production capacity and serve to create a higher pricing range for ammonia. Currently, legislation that would create a tax credit for the production of green and blue hydrogen is being considered. The Clean Hydrogen Production and Investment Tax Credit Act of 2021 would provide a tax credit to companies that reduce carbon emissions by the production of hydrogen. The credit would be worth up to $3 per kilogram of qualified, clean hydrogen produced. We support this legislation as it will be needed to make clean hydrogen and green ammonia cost competitive to current products produced and therefore spur significant investment. Our current focus is on choosing a technology partner that will perform a feasibility study for each of our sites to determine the infrastructure needed to produce green or blue ammonia and its derivatives that will support LSB’s medium to long-term commercial sustainability objectives. We would anticipate one or more of the feasibility studies to be completed early in 2022 and to be presenting a plan to our Board of Directors to approve during the second quarter. In addition to opportunities to reduce our carbon emissions through the production of blue and green ammonia, as I pointed out on the last call, while less frequently discussed as a greenhouse gas relative to carbon dioxide, nitrous oxide is actually 300 times more impactful in terms of warming of the atmosphere than CO2. While we have been able to reduce our nitrous oxide emissions in recent years, we continue to seek further ways to reduce nitrous oxide emissions at our facilities. Before I hand the call back to the operator for the Q&A session, I’d like to mention that we’ll be participating in the Morgan Stanley Global Chemicals Agriculture and Packaging Virtual Conference on Wednesday, November 10th; the Bank of America Securities Virtual Leveraged Finance Conference on Tuesday, November 30th; the Sidoti Winter Virtual Microcap Conference on Thursday, December 9th, as well as the UBS Chicago Ag and Industrials Chemical Conference also on December 9th. We hope to speak with many of you during these events. That concludes our prepared remarks. And we will now be happy to take any questions. Thank you.
Operator: [Operator Instructions] Our first question is from Rob McGuire with Granite Research. Please proceed with your question.
Rob McGuire: Good morning, Mark, Cheryl and Fred. Congratulations on your quarter.
Mark Behrman: Thanks, Rob. How are you?
Rob McGuire: Good, good. Thank you. Hey. Can you help us understand your parameters around potential M&A?
Mark Behrman: Parameters, you mean financial parameters or kind of things that we’re looking -- we might be looking for?
Rob McGuire: Actually both would be great, if you’d be willing to comment.
Mark Behrman: Well, from a focus standpoint, I think, we have a number of different opportunities, directions that we can go in. Clearly acquiring facilities that are similar to the ones that we operate today would be right down the fairway for us and something that we would really be able to easily understand and operate. So, that would be good if we could find those kinds of facilities, maybe give us some geographic differentiation, maybe broaden the product portfolio so that we’ve got more variable -- variance of products when talking to our customers. We also own a small sulfuric acid plant down at El Dorado, and we’ve operated that for over 30 years. So, we know the sulfuric acid market, and we could really make that a more meaningful business through the acquisition of other assets. We would look to do that as well. And then lastly, we do have a big focus, as I said, in blue and green ammonia. So, I think looking at some assets that would really move us forward in those areas, could be something that we’d really take a look at and be attractive. From a financing standpoint, as I mentioned in my comments and Cheryl reiterated, we’ve been leveraged for a number of years, and we’ve worked really hard to delever the Company. So, we’re not looking to go back and leverage up for an M&A activity. We would consider going above the 4 times leverage, if we can see a clear line of sight that we can utilize free cash flow within 18 to 24 months after a closing on a transaction to get below 4 times, and of course, the balance would be a finance with equity. But, it would have to be a creative, would have to make a lot of sense for us. So, we’re not looking to get bigger just for bigger sake, and there’s no value to that. I hope that gave you some color.
Rob McGuire: Thank you. UAN, can you put some color around your UAN production in the quarter? And how we should think about UAN volumes going forward?
Cheryl Maguire: Sure, Rob. So, I mean, yes, UAN volumes were down this quarter versus the same quarter last year. From a sales perspective that was of course the turnaround at Cherokee, probably accounted for 30,000 to 35,000 tons of lower UAN production. And then, sales were also impacted this quarter compared to last quarter simply from timing. We sold more in the second quarter this year whereas last year, we kind of carried an additional 20,000 to 25,000 tons into the third quarter, and we were able to move that volume last year. We’re just running lower on inventory overall. A lot of that is still from that winter freeze, we had it in -- we’re carrying less inventory in the chain for some of that caught up with us in the third quarter. Looking forward to the fourth quarter, really thinking UAN sales volumes are probably going to be in line with last year.
Operator: Thank you. Our next question is from Steve Ferazani with Sidoti and Company. Please proceed with your question.
Steve Ferazani: Good morning, Mark. Good morning, Cheryl. I wanted to ask about -- a little bit about the guidance, in terms of you have a pretty good -- I’m sure you have a pretty good handle on natural gas prices, given your hedging -- in terms of pre-selling ammonia and fertilizer volume, how much you’re doing that? And how tricky it is right now, given the fact that prices are going up dramatically, different from -- in past years wouldn’t expect prices moving as much this time either?
Mark Behrman: That’s a great question, and sort of the great struggle every day for us, right? How far to sell ahead versus hold back with prices moving so quickly? So, I would tell you that, we’re not selling as far ahead as we might have in the past, but particularly at this time of the year where a lot of sell forward happens. But, we still have to run facilities, right? And we still produce product and want to make sure that we can sell it. So, I think it’s a happy balance. Having said that, I think we’re trying to be prudent about moving prices up as the industry’s moving prices up. So, we’ll hold back on some quantities of sale that we might have historically sold at this point in the year and take advantage of maybe higher spot prices.
Steve Ferazani: The flip side would be how far ahead our customers trying to buy?
Mark Behrman: Well, I think there was a -- if you go back two or three months, I think there was a little bit of a standoff where prices were moving up and customers were holding off on buying, expecting that prices would come back down to more normalized levels. With prices continuing to move up, we are seeing, a lot of customers now buying forward for the spring to try and lock in prices because I think they were a little nervous that we could see continued price appreciation throughout the rest of this year and the early part of next year. The other thing I would say is, when you look at nitrogen prices or nitrogen equivalent pricing in comparison to whether UAN, urea and ammonia, ammonia is trading at a 24% and 36% discount to UAN and urea. And so, I think what we’re seeing and starting to see is some pretty significant demand for full ammonia application, because if I’m a farmer, I probably, from a cost perspective, will put down more ammonia in the fall and get more nitrogen in the ground, given its lower competitive pricing in the hopes that maybe I can put a little less nitrogen in the spring. So, with the harvest on average more than 50% done -- the corn harvest more than 50% done, at this point, we are starting to see some real demand for full ammonia application.
Steve Ferazani: In terms of the industrial contracts, obviously we’re seen the slow down on the automotive front, but certainly for this running season, we’re seeing a lot industries getting hit by the supply chain issues and we might see some production coming down. How much do your contracts protect you on the volume front? And does that mean the mix shifts over the next couple of quarters, knowing that we are going to not have excess supply and the strong ag command?
Mark Behrman: Well, the products -- I mean, the industrial contracts, generally are requirements contracts. They are not take-or-pay, although we do have some significant take-or-pay contracts. So, volume could shift. Having said all of that and despite auto pulling back a little bit, some of other of users of, let’s say nitric acid, have some really strong demand. So, I can tell you that we don’t have enough product to meet all the demand that we have. So, we’re not going to see a drop off in that market.
Steve Ferazani: Great. And then, the last one for me, just on blue and green. Pretty quick timeline in terms of moving forward. I’m guessing you’ve already done a ton of work. In terms of moving forward, how much of that is a mix of what you are hearing from potential partners versus customers versus the D.C. climate?
Mark Behrman: Well, I mean, in my opinion, and I think our position as a company is, unlike a lot of previous green waves that have come and gone, this is really here to stay. There is a lot of momentum globally. There is a lot of government intervention and support. There is a lot of private capital that are involved in decarbonization. And of course, the consumer, most consumers understand the need to really reduce our carbon emissions around the globe. So, this is -- we don’t believe this is going away. And so, we’re very committed to it. We are -- have been working on this for a while. We tend to not announce -- we’ll put out announcements of who we’re talking to. And so, I think, we’ll put out an announcement when we have some meaningful movement on our position. But, we’re looking, as I mentioned, at both carbon capture and the production of green ammonia, because we think both are important in the efforts to decarbonize.
Steve Ferazani: Great. Thanks a lot, Mark.
Mark Behrman: Yes.
Operator: Thank you. Our next question is for Richard Kus with Jefferies. Please proceed with your question.
Richard Kus: Hey guys. Thanks for taking my questions. So, I’m just curious, do you have a sense of what percent of the industry is offline right now, as a result of some of the higher costs that they’re experiencing?
Mark Behrman: Well, most of the production offline that we’re talking about is throughout Europe. So, there’ve been a number of announcements. I mean, I don’t have a percent. I’ve heard as much as 4 million tons of ammonia production is offline.
Richard Kus: Okay. And then, there’s obviously a lot of noise about some of the environmental policies that are taking place over in China. How do you think that ends up impacting nitrogen supply here over the medium term?
Mark Behrman: Well, I think China’s really tried to control their exports of product and use the product domestically. I think, a lot of that has to do with the fact that they’ve shut down some very costly and pollutive nitrogen manufacturing facilities. So, I think, the impact will be less product exported from China and therefore less supply in the marketplace.
Richard Kus: Right. Okay. And then, just on some of this green, blue ammonia, do you guys have a sense of -- I know you’re very, very early in this process here, but like how do you think about the amount of capital that you would look to invest in that type of an opportunity over the medium term? Can you kind of maybe frame that up for us, give us some goalposts to think about?
Mark Behrman: Yes. So, I’ll talk about blue first, since I think it’s more immediate term. So, as I mentioned, there are -- there is currently a tax program called 45Q. You can get a tax credit of either $35 a ton for taking that CO2 and using it for enhanced oil recovery, which is done every day or you can earn as much as $50 a ton for permanently sequestering it in the ground. So, when you look at economics of investing capital, so for us, it’d be carbon capture equipment and of course there needs to be a pipeline -- to either a pipeline or direct to a well of course sequestering it. So, the investment of capital can go in a number of different ways. We can invest -- we potentially could invest no capital and just bring in a partner that wants to own the carbon capture, the pipeline and the well, and would pay us for the CO2 and leave us with blue ammonia to sell us blue ammonia or an upgraded product, a derivative of that, or we can invest some dollars in the carbon capture and own it with a partner or own the whole carbon capture ourselves. It’s really just an economic model and a return. And so, we’re not far enough along to determine which scenario we’d like to go down. I think, we’ll have a number of different options that we’ll be able to evaluate, and then make a decision. When it comes to green ammonia, there will be an investment of capital. We’ll have to retrofit the front end of our ammonia plant, whichever one we decide to put green ammonia in, we’ll have to buy electrolyzers. And then, there’s obviously engineering design to do that. But, I think in order for us to invest those dollars not only obviously we want to sign a long-term power purchase agreement for renewable energy at a cost effective rates, but we’d also like to underwrite the project by having at least 60% or 70% of the production spoken for with an offtake agreement. So, I think we’ll look to do that. And there’s been a lot of conversations with some really exciting partners that are really willing to partner with us, so that we can all point to an opportunity in a live situation where green ammonia is being produced. So, we’re really excited about a lot of the conversations that we’re having, because there’s really a lot of interest in partnering with us to really execute on either blue or green ammonia.
Richard Kus: That’s great. And then, lastly, for me, big picture on Cherokee, how much expense negatively impacted EBITDA in the quarter? I saw the $8 million add-back to the adjusted EBITDA number. I’m curious, how much was not added back in terms of lost production?
Cheryl Maguire: Yes. I would say, probably close to $15 million.
Operator: Thank you. Our next question comes from Brian DiRubbio with Baird. Please proceed with your question.
Brian DiRubbio: Good morning. Do you have any sense of how much lower imports were, especially for UAN this year versus last year?
Mark Behrman: Brain, I could give you that in a follow-up call. I don’t have that in front of me now.
Brian DiRubbio: Okay. But, safe to say, it’s probably material for this year, correct?
Mark Behrman: Yes.
Brian DiRubbio: Okay, great. And just turnarounds for next year, are we looking at two or just one?
Mark Behrman: No, we’re looking at two. We have one at Pryor -- well, actually, we have one at El Dorado that’ll start mid to late summer, and then followed by Pryor, that will be late summer, kind of early fall.
Brian DiRubbio: And just remind me, are we still on, is it Pryor that’s still on a two-year schedule, or are you trying to move that to three? I forget, there was one of the three that was on a two-year schedule. 
Mark Behrman: So, it had been on a two-year schedule. Having said that, we bypassed last year turnaround at Pryor during the pandemic or during the height of the pandemic, and pushed it off to this year. So, this will be three years. And we’ll have to make a determination as we’re doing the planning for this upcoming turnaround and we go into the plant and look at the condition of the plant because you always find some things, whether we think we can stay on a three-year or go back to a two year. The key at Pryor is, I want to make sure that we’re doing the right upgrades and the right maintenance and replacement of equipment or rebuild, so that we can really run reliably.
Brian DiRubbio: Got it. And then, just the -- Cheryl, almost $8 million add-back on turnaround to your adjusted EBITDA was that the actual cash cost on lost EBITDA, just trying to get -- if that was cash.
Cheryl Maguire: No, I mean, the lost EBITDA is the production that I just alluded to, which was $15 million, the $8 million is basically the maintenance costs, contractors, that sort of thing. So, yes, all-in cash, on just those two items you’re looking at over $20 million.
Brian DiRubbio: Okay, great. And then, just finally, Leidos lawsuit, just any updates there in terms of timing?
Mark Behrman: I wish I really had good news on that front. I mean, we still feel strongly that we’ve got a great case. I think, we’ve got some loose dates on the docket to get in front of the judge. So, for a couple of dates or blocks of time in 2022 and then early 2023. But, the judge has instructed all the parties to get really focused on finishing up all the depositions and all work. So, that’s a positive development there. So, focused on finishing it up and then, when we can, having the trial.
Brian DiRubbio: Very good. I appreciate the thoughts. Thank you.
Mark Behrman: Thanks.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Mark Behrman for any closing comments.
Mark Behrman: Thank you everyone for your interest in LSB Industries, and hopefully you see that we continue to make good progress. If there is any follow-up questions, feel free to call Cheryl and myself. Thanks, and have a great day.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.